Operator: Welcome to the J&J Snack Foods Second Quarter Earnings Conference Call. My name is Richard, and I will be your operator for today's call. At this time all participants are in a listen-only mode. Later, we will conduct the question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Gerry Shreiber, President and CEO. Mr. Shreiber, you may begin.
Gerry Shreiber: Thank you. The forward-looking statements contained herein are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. You are cautioned not to place undue reliance on these forward-looking statements, which reflect management’s analysis only as of the date hereof. We undertake no obligation to publicly revise or update these forward-looking statements to reflect events or circumstances that arise after the date hereof. Results of operations. Net sales decrease 2% for the quarter, without sales from the acquisition of ICEE Distributor in October 2019 and BAMA ICEE in February 2020 sales also decreased 2% for the quarter. Foodservice. Sales to foodservice customers decrease 2% for the quarter and decrease 1% for the six months. Our sales decrease for the quarter was due to decreased sales of soft pretzels down 8%, churros down 6%, funnel cake down 44% and handhelds down 7%. Bakery sales were up 6% and frozen juice and ices sales were up 6%. Sales to restaurant chains, which were heavily hit during this period were down 15% this quarter, while sales to school were up.  Operating income in our food service segment decreased 56% to $11 million from $24.8 million this year, primarily because of higher costs, product exchanges and lower volumes throughout the quarter and due to decreased production at quarter ends due to the effects of COVID-19 on demand. Retail supermarkets and grocery. Sales of products to retail supermarkets were up 10% for the quarter. So, pretzel sales were up 14% for the quarter, sales of frozen juice and Italian ices were up 8%, handheld sales were up 26% and bakery and biscuit sales were up 4%. Operating income in our retail supermarket segments increase in the quarter to $4.3 million from $3.0 million a year ago. ICEE and frozen beverages, frozen beverage and related products sales were down 6% in the quarter and beverage related sales were down 5%. That's the sales of ICEE Distributors and BAMA ICEE two acquisitions of about a year ago, overall sales were down 10% and beverage related sales were down 14%. Service revenue for others was up 9%, machine revenue was $8.9 million down from $13.2 million last year, as last year had a large installation project to one quick service restaurant chain. We had an operating loss in our frozen beverage segment of $1.3 million compared to $2.6 million operating income in last year's quarter, primarily due to relocation costs and expenses related to ICEE headquarters moved to Tennessee of approximately $1.5 million this quarter and lower volume due to COVID-19. In February, we purchased the assets of BAMA ICEE, which does business in Alabama and Georgia, with annual sales of approximately $3.5 million. With this purchase more significantly, we now have distribution rights in the entire United States. Consolidated gross profit as a percentage of sales was 25.53% in the three months period this year, this was down from 28.68% last year. Gross profit percentage decrease because of lower unit volume throughout our business, generally higher costs and unfavorable product mix changes. Total operating expense as a percentage of sales was 21.5% in the quarter up from last year 19.7%. The percentage was increases due to increased marketing spending in our retail supermarket and frozen beverage segments largely ICEE relocation expense and higher distribution expenses primarily due to higher freight and storage costs and ICEE relocation expenses and because of lower sales in the second quarter.  Our EBITDA, as earnings before interest, taxes, depreciation and amortization for the past 12-months was a healthy $163 million. Capital spending and cash flow. Our cash and investment securities balance of $267 million was down $29 million from our December balance, primarily because of the purchase of BAMA ICEE and by backup common stock of $9 million. A $109 million of our investments are in corporate bonds with a purchase price yield to maturity of 2.8% of which 99 million mature within two years. Our bank preferred stock and mutual funds $13 million dropped in value by about 15% at the end of March. Our capital spending was $19 million in a quarter as we continue to invest in plant efficiencies and growing our business. Likely our spending for the year will be cut back due to other priorities at the present time. A cash dividend of $0.575 -- that's 0.575 was declared by our Board of Directors and paid on April 7, 2020. This was a 15% increase. As I mentioned earlier, we bought back $9 million of our stock during the quarter. We had an investment loss of $413,000 this year compared to investment income last year of $2.8 million primarily because of $2.1 million of unrealized losses this year, compared to $760,000 of unrealized gains a year ago. Regarding where we are now. Net sales for the first four weeks of our third quarter that will end in June, are down approximately 45% from a year ago. Although we cannot estimate whether net sales will continue to be down at the same rate for the balance of the quarter, we estimate that we may have an operating loss in the quarter, which was compared to operating income of $39 million in the year ago, June quarter. Approximately two-thirds of our sales were to venues and locations that have either shutdown or sharply curtailed their foodservice operations. So we anticipate COVID-19 will continue to have a negative impact on our business. As we have $267 million of cash and marketable securities on our balance sheet, we do not expect to have any liquidity issues. We have good management in place, strong brands and a broad base of highly respected customers. We continue to monitor and adjust our costs and expenses as we evaluate our business on a daily, weekly and monthly basis. We are monitoring consumer behavior customer shift and industry needs to adopt our product and marketing mix for the post pandemic landscape. And what is a true JJS, J&J Snack Foods entrepreneurial spirit. We are ready to fight our way back to sales growth and business performance and customers begin to reopen this summer. Keep in mind that all of our leisure, theme parks and sports venues are either shutdown or haven't began to 2020 seasons yet. We are being careful not to reduce our costs so much that we won't be able to service our customers when they return, making sure that we have the proper staffing and resources in place for when business opens up again. And at the same we are working around the clock updating preventative measures to keep our employees safe. We have always been a company that has been cautious in the way we spend and use our cash. Today as I mentioned, we have $267 million in cash and securities. We are protecting it and using it to prepare for the future, as we monitor and shape what looks like in this changing landscape. I will now introduce Deb Kane, our Director of Food Service Safety and Quality Assurance. Deb has been with the company for about three years. And we recruited her from Campbell’s. Deb?
Deb Kane: Thank you. So J&J Snacks Corporation is fully committed to maintaining operations amid the COVID-19 pandemic. We started implementing a number of precautionary measures as Gerry mentioned, and mitigation strategies in all of our facilities as early as late January. We distributed to all our facilities a robust COVID-19 plants, which aligns with the latest recommendations of the CDC and local health departments. Our plant teams were very supportive of all our precautionary measures, and because of their early adoption, we are able to continue to operate and meet our customer orders. Our crisis management teams and subcommittees be anywhere from daily to weekly. We enhanced our hygiene protocols in all facilities and increased frequencies of cleaning and disinfection for all production lines and frequently-touched surfaces. We practice social distancing and when that practice is not feasible in certain production areas, for example, packing rooms, we've erected physical barriers between personnel. All non-essential manufacturing employees are working remotely, all visitors and travel is limited to business critical. Procedures such as illness screening and temperature monitoring is being conducted at all doors prior to entering our facilities. Employees are wearing facial covering, so those would be face masks and face shields to further reduce risk for exposure to COVID-19. In addition to all the measures I just spoke about, we have active communications with our suppliers to monitor our inventory levels and we've proactively identified alternate suppliers where needed to ensure supply chain continuity. Logistics and transportation schedules are being managed by our team to ensure the ability to transport throughout the J&J Snack Foods network. We monitor our positive COVID-19 employees or even those who've coming close contact with a positive and we have strict protocols for 14 day quarantines to protect our other employees and keep our workplace safe. We follow our COVID-19 plan for when employees can safely return to work after an illness, and of our positive employees, there has been no direct linkage to workplace exposure. So that means the positives are likely due to external communities spread from carpools or community interactions outside of the workplace. We've met with FDA and several local health departments as well as OSHA and all the agencies are satisfied with our actions and responses to keeping our workplace safe.
Gerry Shreiber: Thank you, Deb for a very detailed and safe analysis. I also wanted to comment that, on the announcement you might have seen recently regarding Dennis Moore. Dennis is retiring this July 30 and we are so grateful for all the years of dedication, efforts and guidance that he has provided us over the years. We are truly sad to see him retire and we'll miss him. However, we wish him all the best for the next chapter of life. Thank you, Dennis.
Dennis Moore: Thank you, Gerry
Gerry Shreiber : I just want to add that this COVID stuff is another wrinkle in our life, in our history, which we are confident that, we will deal with it well, and it'll just be a distant memory in years to come.  I'll now turn it back to listeners and entertain any questions or comments.
Operator: Thank you. [Operator Instructions] And our first question on the online comes from Rob Dickerson. Please go ahead.
Rob Dickerson: So, Gerry, I just had a couple of larger type thematic questions here, just kind of around the business model. Obviously, coronavirus has changed the number of different games, and we understand that there's a fair amount of traffic decline obviously they can be away from home space, you play an away from home space. You’ve heard from the likes of some larger CPG companies like Coke and Pepsi and they're lot of questions out there right and there's a lot of answers left within the unknown. So, I guess the question I have for you, because you've been in business for so long, maybe the frozen, couple piece of the business might not change as much it actually could be, better than it has been the past couple years. But in terms of that frozen beverage business, it's largely away from home, do you already have to sit down and say, okay, well maybe the dynamics of that business, the drivers those business have changed and maybe we should start to think about putting them in bottles or selling them in a different through a different channel? Or should we be selling powder other just ways to try to almost very quickly change with market demand. 
Gerry Shreiber : That's a big question. However, if you look at our ICEE business which includes ICEE ARCTIC BLAST and SLUSH PUPPIE, it has been growing nicely year-after-year. 
Deb Kane: I think Dan Fachner is on the line, if he wants to comment on that. 
Gerry Shreiber : Dan, do you want to comment on that?
Dan Fachner: Sure. Hi, Rob, how are you? I think that's a great question and we are looking at other alternative ways to sell our products. The product, as you mentioned is being sold in some great locations today that many people would love to be in like amusement parks, theaters, wherever there is high foot traffic. Unfortunately, because of that during the pandemic many of those are shut down. We believe that many of them will open back up and it will still be a strong business at its core. But in addition to that, we are looking at other alternative ways to sell the product. Maybe around the take home section. How to do that properly. It's still a treat, it can be sold in locations and then delivered to the house. We do a lot of different licensing types of things with it, as you mentioned in a powder, how to have it at home and enjoy it at home more often and so we're looking at several different factors. But we do still feel bullish about the way that the business will come back and still be strong in those locations that we're in as well.
Gerry Shreiber : It's not like we've lost any customers or business, business is down that's true, but a lot of it's down because of people's feet foot traffic. 
Dan Fachner: In addition to that, Rob our service side of our business as we've continued to grow that has been healthy during this time as well.
Rob Dickerson: Okay, so that's a clear positive. And then I guess, just in terms of that the go forward now you mentioned, what the kind of the sales trends has been upfront in the third quarter and what operating profit could actually set potentially get through the quarter? It sounds like you're doing the best you can -- you need to alleviate some costs potentially in your P&L, but at the same time, you're also sounds like you're trying to hold on to pretty much your very loyal employee base. And that's a sensitive topic. I would feel like a lot of times the moving parts of your P&L obviously contingent upon those venues opening up in and then people actually going back to the venues, and pretty much sounds like you're trying to hold back cash, to be able to hold on to your cost structure as is, as long as you can. Is that make general sense?
Dennis Moore: This is Dennis, can I comment on that. All right, first of all, I would say, we have had significant reduction in costs during the quarter. But you are correct in that, there are some costs that we don't necessarily want to cut right now. And for a couple of reasons, one, we have some valuable people that we will need once the business does turn around again, and we also have a sense of loyalty to them as well. And on top of that we now save perhaps another couple million dollars or whatever of costs during this particular quarter will have no impact on have performance and what we deliver from that considering that we have the chance to do so. So we have taking into account a lot of different factors, but I don't want, we should be giving the impression that we have not cut costs significantly during this time, because we have and then we're going to have a drop off in sales of $150 million in this quarter, we have to take steps otherwise, dropping earnings would be a lot what we are anticipating as today.
Rob Dickerson: Okay, that's a fair answer. Thank you so much. Please stay safe.
Operator: Thank you. Our next question comes from Ryan Bell. Please go ahead.
Ryan Bell: You said that the first four weeks of your June quarter were down about 45%. Can you speak about the differential ways you're seeing disruption impacting different parts of your business, the retail supermarkets, frozen beverages and food service? And are there any additional details you can provide on the compensation of your on-premise exposure and any differences that we’d seen in the pockets of the channels and how they're performing?
Gerry Shreiber : Before I turn it over to Bob Pape and Dennis, keep in mind that we started our third quarter which is traditionally a good upswing with all of our sports teams inactive for the season being on hold. Additionally, many, many schools were closed. And so we started off with a sizable mix. We do expect as the quarter heats up four, five whether an opening that we will get pass that quickly. Bob, do you want to add something?
Bob Pape: Yes, I mean, from the food service aspect of the business. As Gerry mentioned, with many of our partners shutdown at this time, right now we're formulating a plan to be able to get back in business with those customers as they start to recover. And then the other thing is on the retail side of the business, our at home consumption has been very strong, which we anticipate continuing to move forward in a positive direction, primarily obviously driven by the stay-at-home-orders. And so, we're also figuring out how we can continue to grow that aspect of our business. And, I'll let Dan comment on ICEE as far as the moving forward.
Dan Fachner: Yes. Hi, Ryan. So, the ICEE company continues to feel good about what will happen in the future, right. And then, in the third quarter, we're still measuring those accounts that are not opened at this point. I mentioned earlier on the call with Rob that our service side of our business continues to grow and that is operating almost at the same pace that it had been, and we see that growing into third quarter as we start to open up these locations, and more people need service for that, and even our outside service outside of the ICEE division, that portion of it is growing as well and see that continuing to grow in the third quarter, although the core product will be hit during the third quarter.
Ryan Bell: Great. Thank you. And given your strong balance sheet, it seems like you'll be able to ride out the storm. Are there any changes that you might think about in terms of your capital allocation over time? And are there any ideas maybe about what could happen or any opportunities that can arise from the disruption in terms of potential acquisitions as we exit it?
Gerry Shreiber : Well. This is Gerry. We managed our finances well over the years, when we didn't have a lot of cash reserves. We will continue to manage our finances and put in cash just as we have in the past. So, that will be a good sign.
Ryan Bell: Okay, great. Thank you.
A –Dennis Moore: Thank you, and to just to add to that, I think you've commented regarding maybe there will be some acquisitions now that were not available six months ago, because other companies are hurting. As everyone’s hurting’s and perhaps it will offer additional opportunities to us, and we will be looking and evaluating and hopefully we making some acquisitions over the next six months to a year.
Gerry Shreiber : Dennis is right. We have the cash. We have the balance sheet. We have all of the things going forward to continue to build a healthy company and we've made acquisitions in the past. We've turned some down of more recent vintage, but we'll be looking to make acquisitions in the future.
Operator: Thank you. [Operator Instructions]. Our next question on the line comes from Jon Andersen. Please go ahead.
Jon Andersen: I want to thanks to Dennis for all the help over the years and best of luck in your next phase. I guess, I wanted to start with the retail business, which was strong in a quarter of the retail supermarket business. Could you comment a little bit on what you're seeing there in terms of overall consumption growth for your supermarket brands. And do you think the growth is kind of sustainable going forward or was there a large kind of one timestock up component to that?
Bob Pape: Well, John, as far as the business itself, I mean obviously there's been increased consumption. Again in the at home segment, we saw that in the past couple of months our customers which we're trying to support are focused on in stock positions and supply chain, which we are working very diligently to fill as well. We have very strong brands and I think that as a result of that, we are going to continue to be looked at mayor customers as a good partner and that there will be opportunities moving for us forward. With that said, we also have an unknown as far as what the consumer behavior will be and as mentioned in the conference call notes that Gerry mentioned, we are monitoring consumer behavior and we will go to what the new consumer need is once the new normal is established. So, that requires some product development, it requires some modification of our marketing and all those things are being in process now to be able to answer that once the changes that the industry are undergoing happen. So, that's really how we'll be handling it and we're very positive about the product portfolio and what we can do with that product portfolio. 
Jon Andersen: Could you talk a little bit about your ability to meet the demand. How is the supply chain working on the retail side of the business. Have you been able to keep retailers in stock. Are you able to maybe reallocate some production capacity from your food service business into retail to better service retail customers during this kind of demand surge that they're experiencing?
Bob Pape: I think again, tied in to the fact that we took the very proactive steps on the COVID-19 sanitary procedures and employee safety that we started back in January, that's allowed us to have a stable supply chain and quite honestly, I think some of the issues are our customers in terms of their outbound freight to their stores and servicing their stores and obviously some panic buying on the part of the consumers that seems to have started to abate a bit. So, those are the issues we have not really experienced any significant supply chain issues in terms of our manufacture. 
Gerry Shreiber : Where there were issues with some of the retailers, we filled that gap with our own trucks getting product to them and they appreciate that very much. Somebody [Elias Jensen] said to Bob “Your companies make the product. You get it here. You build this. You stock the shelves. You deserve an award. 
Jon Andersen: Yes. I'm sure if you are going to help your customers out in ways like that during a difficult time they appreciate. Yes, absolutely. So maybe I could ask about the 40 -- the trend that you commented on in April. Am I right to say that the most difficult kind of situation right now is within the food service segment, not the frozen beverage segment. But within food service because of the nature of the locations where that is sold, is that seeing the biggest downtrend at present?
Gerry Shreiber : I think it may be all over. If you look back a year ago, April comes. Yes, this spring. The birds are chirping, but they're faceful there's playoff hockey, they playoffs basketball. There's all these little sports leagues in there, that adds a nice little boost to this. We were completely shutdown it's not surprised by the restriction this year. Now we know that's not going to continue, but we expect that it will be a while until we get back onto the field so to speak, and enjoy those benefits of sales. We have a team that is dedicated to that. We have a team that enjoys working with the youth and the major sports arenas, and we are good at. And that's business has been growing every year.
Dennis Moore: But with regard to when you mentioned on the beverages segment, suppose in beverages product sales are severely impacted by this, I mean a portion of the Frozen beverage business they are making service component is continued to perform well, but the beverage side of it is, down, well over 80%.
Jon Andersen: Okay, so it's affecting beverages significantly or sounds like as the food service segment as well.
Gerry Shreiber : A few years ago, and was spearheaded by Dan Fachner. We discovered movie theatres. And we started putting equipment and movie theatres all around the country. And we enjoy plus sales for that many years. Now, I understand almost every movie theatre is closed or has restricted hours for cartoons on a Saturday morning and what not. But that business will come back. We're confident it will, and we'll start enjoying the benefits of that business hopefully not too distant future.
Jon Andersen: Okay. Just a couple additional ones if I might. So, you talked about this balance you're trying to strike of keeping the people and the capabilities and the capacity intact as you work through this temporary kind of issue. But how much have you, would you say you -- but you also said you've taken some actions already. I mean, how much have you kind of done in terms of kind of cost discipline to this point, and do you have a, kind of an additional slight of potential actions, depending on the timing of some of that your customer reopening, just trying to get a feel for how much you've maybe already done it? And how much is potentially yet to come?
Gerry Shreiber : Well, we have 18 facilities across the country and we are really dedicated to our people at our plants and our business. We did have a lay off that affected 221 people a couple of weeks ago. We don't anticipate growing or having another round of it.
Dennis Moore: And there are significant cuts that we've had in payroll reductions as well in our manufacturing plant.
Jon Andersen: Okay.
Dan Fachner: John, I'll add to that too. This is Dan Fachner. We've looked at it in several different fashions. We've had some layoffs, we've had some salary reductions, we've had some furloughs, we've had some hour reductions. And so, we're monitoring it really close with some scenario planning based on where the business is today and where we expect it to be and where it might end up, and we're watching that really closely.
Jon Andersen: Okay. And the last one, I guess for me, I mean, would it be fair to assume that you bought some stock back in the quarter, raised the dividend, what should we expect going forward in that front? I'm assuming you're going to go into maybe a defensive posture regarding those uses of capital going forward. And will you -- how much would you think of optimizing capital expenditure on a full year basis at this point?
Gerry Shreiber : Well, I think we spent about $50 million to $60 million last year and probably we're on target for that this year. We may trim that a bit because of need, but right now we have adequate supply of products and we have adequate cash reserves and we meet regularly on that and pay careful attention to that, because we don't want to go either side of the tracks.
Jon Andersen: Okay. Thanks everybody. I really appreciate all the color and stay safe.
Operator: Thank you. And our next question -- not a problem. We have Todd Brooks on the line with the question. Please go ahead.
Todd Brooks: A quick question, Gerry. If you talk about the down 45% sales trend that you're seeing quarter-to-date, you pointed out a couple of things. One, schools were widespread closures in April, but I imagine the education business becomes less important and if you get into May and June. And then additionally do have a big convenience store business, outside of the venue closures and event cancellations, that's been the shelter-in-place and people not being free to move around and as you looked out over the course of this quarter, and you're starting to see states open up a bit and people getting some freedom of movement back. If you could talk about maybe this down 45% that we've seen for the first four weeks. If there is an element that could moderate as people are out moving outside of their homes and driving, hitting the convenience stores and the drag year-over-year should moderate from education over the next two months.
Dennis Moore : Yes. This is Dennis. I'll answer this. I guess, if you look at who we're selling to now in the food service segment and the Frozen beverages non service component of the business was basically selling right now for restaurant chains to a limited extent and to convenience stores. There really is not much else that is open and selling our products and most of these other venues are going to probably in all likelihood remained shots throughout the balance of the quarter the amusement park or baseball stadiums in the U.S many of the snack bars that we sell that has -- that have been down so far this quarter. So, there may be some opening up and there may be some improvements, but I think at this point at least the things that there’ll be anything of significance we don't see that.
Todd Brooks: And then in that environment Dennis, if you can talk about maybe what we're doing on the marketing spend side and how distribution cost I mean tons of distribution costs are going the extra mile for your customers now for just what should we be seeing I know marketing and distribution were up year-over-year about 10% in aggregate over the prior year. But where the outlooks for marketing and distribution costs in the current environment? 
Dennis Moore: A good portion of that will obviously drop off considerably with the drop off in volume. I mean there are some components of business that is fixed. And so however, we do continue to work with our customers on projects that we've been working on and or working on that and that they want to continue to work on for when they open up and perhaps have your menu items inside yourself. So, we're spending should be done significantly in terms of distribution costs are higher for a lot of different reasons in the first quarter. We had some changes in our prior distribution, we changed the way we took on some distribution that previously had been done. We're selling to distributors, part of the chunk in the marketing and distribution costs was the increases a $1.5 million of IP relocation costs, which had to do it there were happy locations and their customer service relocations. And we're also looking at and actually before all this, began we were looking at changing perhaps some of the where we warehouse our files to ask the country to reduce our costs regarding that. But yes, so all I can say we're looking to drive those downs as we move forward and we should be able to some extent.
Gerry Shreiber : All we need is a little bit of nice weather together with the ball meeting the bat and the fielders are fielding the ball that is going to have a significant change in our business.
Dennis Moore: Gerry, right, the only question is hopefully it'll be sooner rather than later. 
Gerry Shreiber : Do we have a next question
Unidentified Company Representative: Richard, are you there? Moderator?
Operator: [indiscernible] with a question, please go ahead.
Unidentified Analyst: Yes. Good morning, gentlemen. Just two quick questions. Dennis, can you just share the composition is finished and raw? Is it released inventory?
Dennis Moore: Hang on a second.
Unidentified Analyst: Sure.
Dennis Moore: Roughly half of our inventory is a little less than half as finished goods.
Unidentified Analyst: Yes.
Dennis Moore: As raw materials and packaging that we use to manufacture the products in our factories business section sizes, is a little is about a quarter of the inventory and then another quarter is the equipment parts that are primarily in our ICEE business related to service.
Unidentified Analyst: Got it. And just a the fresh memory. Yes. That very consistent where you've been historically. So when we think about spoilage cost and cost allocation across far fewer units looking into Q2 and potentially Q3, hopefully not but potentially Q3. How do we think about the potential for spoilage costs in that finished goods inventory in the context of sales data less than 1%?
Dennis Moore: Yes. Most of our products, I guess 90%.
Unidentified Analyst: Sorry, [indiscernible] percent of finished growth.
Dennis Moore: Well, most of our prior -- 
Unidentified Analyst: There are 51% of inventory.
Dennis Moore: Yes. Most of our product is, most of our finished good products is frozen. So it has been extended shelf life. So at this point at least we don't see that there would be a large amount of spoilage related to that.
Unidentified Analyst: Great, thank you. That's very helpful. In any, -- as you guys were talking about earlier, are there extensions with customers with regard to the existing receivable balance and maybe just walk through how we can expect as the year progresses receivables and if we need any bad debt reserves against receivables?
Dennis Moore: Well, this is Dennis again. At this point, we are sure there'll be some amount of customers that will end up not being able to pay us, but at this point, and again, it will be our much smaller customers and at this point, today, we don't have -- we haven't seen any of that. So most of our customer, almost all of our customers continue to pay us in the normal course. We do have a handful of customers who are not -- who are shutdown now, we have asked for extended term. And, again, it's relatively small quarter, it's surprisingly small portion in what I would have expected a month ago that have ask for extended.
Unidentified Analyst: Got it. Makes sense. And did you take -- last question for me, did you take the bad reserve against those customers that you're anticipating will have problems did you take?
Dennis Moore: [indiscernible] Well, like I said we did not, when I say it, I'm talking about really small customers. So at this point time, we were not anticipating anything of significance.
Gerry Shreiber : One of the benefits of having dominant brands is that, we have dominant shares. So there is a continuous relationship between us and the customer and everybody realizes that we have at 80% share or whatnot. There's not many alternatives for the other guys, it’s certainly not many alternatives that's equal value and economy. So we're satisfied with our receivables management and our current positions.
Unidentified Analyst : Okay. Thank you. Stay safe and I appreciate the update.
Operator: Thank you. [Operator Instructions]. We have question on line with [Howard Bryerman] Please go ahead.
Unidentified Analyst : Yes. Thank you for taking my call. I don't think there's any doubt that you have a very solid business model, excellent brands and a very solid management team. In my humble opinion, this was a liquidity exercise and I apologize if you said at the beginning of the call. I couldn't get on so quickly. Have you disclosed what a monthly burn rate is at this point and that would be all inclusive of you thinking through inventory spoilage?
Gerry Shreiber : Dennis, you want to answer that Dennis?
Dennis Moore: Well, what we said is that, we may have a operating loss in the quarter which also mean that we may not. So when you look at that and you consider that as demand of the appreciation that we have in capital spending, you would see that's pretty much is an offset. So, at this point, we do not have it in front of them and we haven't since the beginning of this episode back in middle of March.
Unidentified Analyst : So, that's great. So looking forward, going six months, assuming things go the way they are, you should be breakeven for the foreseeable future and then I wasn't able to finish my question. What is your cash balance and your availability on your revolver?
Dennis Moore: We've revolver that's about $50 million to $100 million, but we have cash and investments of $267 million. So, we anticipate no liquidity issues going forward unless things are dramatically different from what everyone is anticipating, which we don't expect.
Unidentified Analyst : And then just finally, would there be other levers that you could pull? I mean, it sounds like liquidity is very strong, which comes back to your point of a strong balance sheet. Should you need to go into the revolver and/or the cash balance or there are other levers you can pull for additional liquidity?
Gerry Shreiber : There are banks that would line up to push money towards us. And Dennis has done a good job about that over the years, but we're in a far different financial convention that we were two years ago, five years ago, and twenty years ago. But we have plenty of resources available to us and we're glad to have that but we don't expect to have to extend.
Unidentified Analyst: Okay, very good. So, it seems like it shouldn't be in. I mean, we eventually will see the light at the end of the tunnel. I agree with you guys. It could be six months before a therapeutic comes out in a year before a vaccine comes out, which would be the ultimate safety net. So, you wouldn't have any problem running for 12-months and coming out the other side without very good. Excellent. Thank you. Thank you very much.
Operator: And our final question comes from Robert Costello. Please go ahead.
Robert Costello : And while some of the convenience stores have changed where your products are made available now like the pretzels and obviously the ICEE and you shrink wrap the bakery products, those costs, they added anything to what your manufacturing costs are?
Gerry Shreiber : One of our premier customers, and we have a great relationship with them and we're in contact regularly both of those projects particularly the wrap, they came to us a few months ago and our people worked it out, we charge them for the wrapping and the only problem we had with Wawa is that the self service machines have been shutdown at least temporarily, while they managed through their issues, so we work with them closely and we don't expect to have any significant downturn. 
Robert Costello : What about perpetual business in the convenience stores have been impacted plus or minus by this? Or has it just stayed the way? 
Gerry Shreiber : Actually, it’s up because we wrap pretzels. And at their request we wrapped them two or three at a time and they're selling in units now, which gives us a little bit of benefit on individual sales. No longer a pretzel, I'll have the pretzel. 
Robert Costello : You talked about 18 facilities. Is there any talk in the near future given what's going on with consolidation of more going forward into say half that number or is that cause price right now?
Gerry Shreiber : I don't have that number but we are closing one in the Midwest and we'll probably do that at some point this third quarter. 
Robert Costello : The $260 million cash. Could you break that out. Like how much is liquid and how much is invested in and who manages it. Is it done internally or externally?
Dennis Moore: This is Dennis, I mean in terms of the investments, we essentially managed it at times but we do use brokers and who do advise us on what we're doing. In terms of liquidity, if we not that need to ask you, but if we needed to we could liquidate all of it, probably at very close to what was carrying it on our books for. But under the normal course of time, we have about 99 about -- close to $100 million of corporate bonds that mature within next three years. 
Gerry Shreiber : What are we earning on those bonds Dennis about 3%?
Dennis Moore: Roughly 2.8% based on a net purchase price, which essentially is what it's trading at today. 
Robert Costello : Last question, Gerry, a couple years ago, you on a call talked about the growth rate and the different industry segments that you service and you mentioned that the food services being your best opportunity at the time for growth percentage wise. Is that you still hold to that as your industry segment that offers the best outside?
Gerry Shreiber : For long term. Yes, short-term probably retail, where we seem to be getting a nice little boost one, because we're, our core products, pretzel and ICEE and what not have dominant shares and most of the -- we’ve got the 35,000 to 40,000 retail grocery supermarket, our packaging is good. The product is good. It's priced right.
Robert Costello : Right. Last question. How come the churros product is not sold in the supermarket category? Like it was be -- 
Gerry Shreiber: That’s a good question. And we keep addressing that amongst ourselves every quarter, that has plenty of opportunity for growth. Sometimes it's a matter of space. And just getting it in there, we don't want to lose any feature space in there.
Bob Pape: I think also -- this is Bob. The other thing that we're looking at is food services, as it continues to grow and be popular within food service venues, usually, the axiom is that the retail at home consumption will follow. So more and more consumers are becoming aware of the product. It's a very strong product category for us on the food service side. And as that continues to happen, we would anticipate that we will look at the viability of our retail product and recreating the experience that people are having in a food service environment.
Robert Costello : Alright. Thank you.
Operator: And we have no further questions at this time. I'd like to turn the call over to our presenters for closing comments.
Gerry Shreiber: I want to thank everybody for participating in this our second quarter conference call. We're not happy that we have to go through these kind of adjustments as they are. But long term our business is in strong conditions. We have plenty of cash reserves, we have popular brands. Some of our brands are 80% of the category. So the long term outlook is good and we expect it will continue to be good or perhaps even get better. Thank you very much.
Operator: And thank you ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.